Michael Judd: Hey, everyone. I'd like to welcome you all to Opendoor's inaugural open house earnings live stream. I'm Michael Judd, Opendoor's Head of Investor Relations. A few housekeeping items before we get started. Details of our results and additional management commentary are available in our earnings release, which can be found at investor.opendoor.com. The following discussion contains forward-looking statements within the meaning of the federal securities laws. All statements other than statements of historical fact are statements that could be deemed forward-looking, including, but not limited to, statements regarding Opendoor's financial condition, anticipated financial performance, business strategy and plans, market opportunity and expansion and management objectives for future operations. These statements are neither promises nor guarantees, and undue reliance should not be placed on them. Such forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in the Risk Factors section of Opendoor's most recent annual report on Form 10-K for the year ended December 31, 2024, as updated by our quarterly report on Form 10-Q for the quarters ended June 30, 2025, and September 30, 2025, and other filings with the SEC. Any forward-looking statements made on this webcast, including responses to your questions, are based on management's reasonable current expectations and assumptions as of today, and Opendoor assumes no obligation to update or revise them, whether as a result of new information, future events or otherwise, except as required by law. The following discussion contains references to certain non-GAAP financial measures. The company believes these non-GAAP financial measures are useful to investors as supplemental operational measurements to evaluate the company's financial performance. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our website at investor.opendoor.com. With that, let's get into the open house with Kaz and Christy.
Kasra Nejatian: Good afternoon. My name is Kaz Nejatian. I'm a computer nerd turned lawyer turned founder, but I think of myself primarily as a product manager. That's what I spent most of my career doing, building products and leading teams to build better products faster. I'm not the guy you invite your place if you want someone to bring to party. I'm the guy you invite your party if you want someone to fix your Sonos. On my first day at work, I told our team at Opendoor that we're going to make a bunch of changes and that the new Opendoor would look nothing like the old one. And that's because, well, the old Opendoor had kind of lost its way. Before I tell you why I think Opendoor was broken, let me share you one example of the thing that has changed just in the last few weeks, so you can get a sense of the scale of the change. Look, on my first day at work on September 15, Opendoor had entered into contracts to buy 120 homes in the prior 7 days. By last week of October, that number had risen to 230 homes. In 7 weeks, we nearly doubled our speed of acquisition. I think it's reasonable to ask how can we move so fast right now when we used to move so God damn slowly. If you give me a couple of minutes, I'd like to tell you what caused the old Opendoor to be so broken. I think this diagnosis will kind of matter in how we rebuild Opendoor. Having been inside the company for just over a month, it's kind of obvious to me that the old Opendoor had just lost faith in the power of software to make selling, buying and owning a home easier. It just kind of thought of itself as an asset manager trying to predict the economy. And the previous Opendoor also didn't really believe in the power of AI to do anything, much less to make our work less toilsome. When I joined the team, I'm not kidding, there were a dozen people whose only job it was to copy and paste information from PDFs into glorified spreadsheets. The previous Opendoor also didn't really believe in itself. I was genuinely shocked when I found out that one of Opendoor's biggest expenses in the first half of this year was millions of dollars paid to a well-known consulting firm to tell Opendoor how to do its job. Everywhere I looked in my first 30 days, I found consultants making decisions that should have been made by executives. Finally, the previous Opendoor had become so risk-averse that it no longer really believed in buying and selling homes. If you ignore COVID, we bought fewer homes in Q3 than we have since 2017 when Opendoor was just a tiny start-up. Look, in the last few weeks, we've reversed course on all of these decisions. We are ditching manager mode. We're now firmly in founder mode. We are refounding this company. This is Opendoor 2.0, and we believe different things. So what do we believe at Opendoor today? We believe that we have to use all of our energy and every modern tool at our disposal to build products that make homeownership easier and less frictionful. We believe we're a software company, and our leverage comes from engineers writing code. We believe machines are better at pricing assets than humans. We believe AI will empower us to avoid toilful work, and we can have a leaner and more aggressive company. We believe we are here to make hard decisions, and we will never ever abdicate that responsibility to management consultants. We believe in being operationally excellent, especially in marketing and corporate functions. When I was at Shopify, I insisted that we manage our marketing dollars like a hedge fund would manage its IRR. We're going to do the same thing here. We're going to spend money only on channels that give us great payback, and we're going to stop spray and pray marketing. We believe slowing down buying homes just to buy them at a significant spread is a bad strategy. Look, the only folks who are going to sell their house at a large spread are people who know things that you don't know. They want to get rid of their house as fast as possible. This is the definition of adverse selection. It's not a buying opportunity. It's a massive red flag. To use Wall Street terms, Opendoor is going to be kind of like a market maker in the future, not a prop desk. We're going to profit from flow, speed and tight spreads, not on bets on the direction of the economy. Our business plan is simple: buy and sell lots and lots of homes quickly, be operationally excellent and increase our value to each homeowner by launching services like mortgage, insurance and warranty. Starting last month, we reduced our spreads while simultaneously stepping up operational rigor and tightening our selection discipline. The goal is simple. We're going to make stronger first offers, buy more good homes and get more good sellers through our funnel. To avoid adverse selection, we're building our inspection process from ground up, structured in-app video and audio, feed goes directly into AI that creates condition profiles that are validated through a standardized inspection process that give us great data. The result is going to be a consistent high-fidelity view of every single home. This trust but verify approach is going to improve the speed and the quality of homes while giving us amazing data to adjust our process, allowing us to grow our portfolio without sacrificing pricing discipline, without giving up on asset quality and without slowing down transaction velocity. But buying a great home isn't the end of our job, right? It's also important that when Opendoor buys a house, we provide value and services to both buyers and sellers. That's why earlier this week, we launched Opendoor Checkout. It's available in select markets now, and it's going to expand to our entire inventory soon. A buyer can walk into an Opendoor home, tour it and place an offer to buy it on opendoor.com without ever talking to a human being. We're shipping the buy now button for homes on the Internet. We're going to improve on this. We're going to add more products and more features for homeowners to simplify the home buying experience, starting with mortgages and warranties. Look, in the future, buying a home will be as seamless as buying a car from Tesla. You'll choose your home, your financing, your warranty, your insurance, all in one place, all in one flow. Right now, homeowners have to deal with a bunch of different companies, brokers, agents, a lot of different stuff to get what they need for a house. That doesn't make sense. We have the Internet. We're going to fix this. And over time, we'll add everything a homeowner needs when they need it, all bundled into one simple experience. Opendoor's goal is really simple. We're going to tilt the world in favor of homeowners and those working hard to become homeowners. That's our goal. And we're going to pursue it with an incredible amount of aggression. Since my first day as the CEO of our company and our first day in this new Opendoor, we've launched over a dozen new products and features. They include things like an end-to-end AI home scoping, where machines instead of human beings decide what repairs are needed and what renovations need to be done. We've automated title and escrow, where AI has started doing some of the work that goes into closing a transaction. We've launched Opendoor's trade-in widget, where we help builders to offer a home trading program like they do in car dealerships. The new Opendoor Key app allows agents, Opendoor experts and soon any homeowner to assess their homes just like an expert. Now we're going to fully power this with AI rather than someone showing up with a pen and paper. We launched Buyer Peace of Mind, giving people certainty when they buy their home with benefits like home warranty and early move-in. We launched AI-powered multilingual agents, explaining home valuation to homeowners and helping them move forward with Opendoor. And we're launching a new partnership with Roam, connecting sellers with Roam's Assumable Mortgage platform to help them move when they want to. We've also made significant improvements in our SEO products, significantly increasing organic traffic. But closest to my heart has been our push to default to AI everywhere. And this has allowed our frontline operators to iterate without writing code. One of our nontechnical teammates built a no-code tool that cut our quarterly inventory management process from 10 hours to about 7 minutes. And this list of launches should show you that we have this renewed aggression at Opendoor. We're going to focus on building great products. But aggression by itself is not a strategy. It's better than hope, but it's not enough. So here's our 4-step plan to channel that energy. First, by the end of next year, we will drive Opendoor to breakeven. We think about this in terms of adjusted net income on a 12-month go-forward basis. That means Opendoor will start generating cash and will never be forced to raise equity ever again. Second, we will drive significant positive unit economics while increasing the velocity at which we transact in homes. This includes launching financial services like mortgage. Third, as we increase our unit economics, we will change the company's focus from primarily building channels to transacting directly with buyers and sellers. We're also going to focus on reducing our days in possession rather than arbitrarily increasing spread, which has had genuine significant negative consequences for us. Fourth, once we've accomplished the first 3 steps, we're going to focus on allowing buyers and sellers to transact on Opendoor without having to buy or sell from Opendoor. This is going to significantly lower our capital risk, but more importantly, it's going to give folks options they want. Over time, as we succeed in these initiatives, Opendoor will change the homeownership experience in the same way Amazon changed the shopping experience, both directly and through its third-party marketplace. Let me be clear, adjusted net income breakeven is a milestone, not a goalpost. We have a huge runway ahead of us. Yes, there's going to be some headwinds, we're going to get some things wrong, but we're committed to consistently delivering improved unit economics and you're going to begin seeing progress towards adjusted net income breakeven milestones as we clear old inventory and increase our acquisition speed. In my first month, we've already made significant progress on the first 3 steps. As we move towards breakeven adjusted net income, we're prioritizing durable cost reductions. Chris is going to talk about some of these, but I want to give you some examples. We reduced spend on external software and have terminated or are in process to terminate over 20 software vendors to date. We've reduced spend on external consultants. Opendoor spent millions on management and PR consultants in the first half of 2025. The go-forward plan is 0. And to drive positive unit economics and increase the velocity at which we transact in home, we've significantly changed our buying behavior. For example, up until mid-October, when someone came to opendoor.com and typed in their address to sell us their house, we would have up to 11 Opendoor employees in the hot path of that sales contract closing. Today, that number in many of our flows is down to one person, and that one person is there to audit the machine to make sure we don't make unnecessary mistakes in underwriting. In fact, we're now doing almost 750 home assessments per week using AI. It used to take us close to a day from the time we collected artifacts to time we complete assessments. In our new flows, this takes about 10 minutes. In the last week of September, we entered into contracts to buy 128 homes. In the last week of October, we entered into contracts to buy 230 homes. To accelerate transaction speeds and customer choice, we can now accept a USDC as a payment method for home purchases. And to make the company primarily D2C, we've turned on Opendoor's D2C flow once again. The company had completely shut down almost all of these flows. Look, while we want customers who want experts to be able to work with one, we are once again accepting customers who want to sell us their home directly. Last week, these customers made up over 20% of our total home assessed. And in a test we ran in mid-October on over 2,000 accounts created, we saw that our new D2C totally unoptimized funnel was able to convert 6x better than the non-D2C funnel. We're far, far from optimizing this, but we believe we have significant opportunity to improve our overall conversion. Okay, that's a lot. Before I hand off to Christy, I want to spend a minute to talk to you about previous decisions Opendoor made about its capital structure. Because look, I think it's important that you hear from me directly about this. When I took this job, I knew Opendoor needed a balance sheet that was fit for our ambitions. Every home needs a solid foundation. And for us, that's capital. There are aspects of our balance sheet that are just genuinely phenomenal. We have 10 different lending facilities with long-standing partners, some of them as long as 9 years, who've demonstrated their ability to scale with us as we grow. Today, we can finance roughly 5,000 homes all at once and close at almost 100% advance rate at great prices. At our peak, that number was about 20,000, and we're going to get back there. And I'm genuinely confident that we can get there with our lending partners. But they're also part of our capital structure that were not focused on the long term. They seem to have been designed and driven by fear rather than setting us up to win. To be blunt, when I joined, the balance sheet had a [ pink lock ]. The company had issued convertible notes with an early repayment that could have forced us to repay them in full before the end of this year. That would have been disastrous for the company. And my first priority was to remove this pressure and give us runway to execute on our vision. Let me be clear, I despise dilution. If we issue a share, it has only one job, to make every other share worth more for our existing shareholders. But to give us some breathing room, I made a decision in my first week to use our existing ATM program to raise nearly $200 million. This bought us the time we needed to deal with the notes without a gun to our head. Earlier today, we reached an agreement to retire the majority of these notes. We took the steps we needed to clean up our capital structure, and we now have the balance sheet we need to stop playing defense and start playing offense. But there's a second part to this, and it's about you. We wouldn't be here without you, our shareholders. You believed in the long-term value of this business, even when our capital structure didn't really reflect it. And I don't believe in asking you to stay on this journey without sharing directly in the upside we're creating together. Look, public markets have a long history of taking shareholders for granted. We're not going to do that. In fact, we're going to reverse that. This is why we're issuing a dividend warrant. Each of you will receive 3 series of warrants, Series K, Series A and Series Z with exercise prices at $9, $13 and $17. One warrant for each series of 30 shares you hold. These warrants are going to cost you nothing and their value goes up as we make Opendoor into what it can be. We want to be on the same side of the table as our shareholder. We're returning some value to you today. You can sell the warrants as soon as you get them, but I'm hoping that you'll stay along for this ride, that you'll participate in what we are building together. We're going to move forward together. And when Opendoor succeeds, our shareholders are going to share in that success. And yes, I'll admit it, it gives me just a bit of joy that this will totally ruin the night of a few short sellers. Look, we're building a new company, right the open. Opendoor 2.0 is committed to its community because we're building and because who we're building for matters. We're going to talk to you the way we talk in the office in plain English, sometimes with a few cuss words, but always with transparency. Please consider this our clean break from corpo jargon. We're just going to talk to you and tell you when we make mistakes. And we know that this transparency is not a burden. It's a feature of your trust in us. We want to hear from our shareholders, your ideas, your questions and even product bugs because we want to fix things fast and build better. If you haven't already seen this, my [indiscernible]. I am more bullish today about Opendoor's ability to change homeownership than I was when I took this job. I'm more bullish because I see a lot more of what is happening inside the company than folks see from the outside. And I think one of the ways in which we can bring you all along for this journey is to just communicate more frequently, more directly and tell you what we are doing, what's working, what's not. Christy is going to tell you a bit more about how we intend to do this after she shares our third quarter results. Christy?
Christy Schwartz: Thank you, Kaz. Our third quarter results reflect the deliberate choices made earlier in the year to prioritize risk management over volume growth, defined by wide spreads and a risk-averse posture that treated buying homes as something to avoid rather than our core business. The numbers tell the story. In the third quarter, we purchased 1,169 homes, roughly in line with the expectations shared at Q2 earnings, but well below our recent historical acquisition volumes. We delivered revenue of $915 million, above the high end of our guidance as we deliberately cleared old inventory before the slower winter selling season. When you stop buying homes, you don't just lose volume, you lose the ability to manage your inventory mix. We were left selling through older homes that were selected under the old strategy, and that showed up in our margins. GAAP gross profit was $66 million in Q3 compared to $105 million in Q3 of the prior year. GAAP gross margin was 7.2%, down 40 basis points year-over-year. Contribution profit was $20 million and contribution margin was 2.2% compared to contribution profit of $52 million and contribution margin of 3.8% in Q3 2024. On costs, prior leadership did meaningful work to restructure our cost base, and we will continue that effort. Third quarter GAAP operating expenses totaled $134 million. Adjusted operating expenses were $53 million, a 41% improvement from $90 million in the third quarter of 2024. This improvement was driven by disciplined cost management across all components, marketing, operations and fixed operating expense. As we rescale acquisitions, we're doing it from the structurally lower cost base. Net loss for the third quarter was $90 million compared to a loss of $78 million in Q3 '24. The prior year number included a $14 million gain from the Mainstay deconsolidation. Adjusted net loss totaled $61 million, an improvement from an adjusted net loss of $70 million in the prior year period. These are the results of the old Opendoor. What matters now is what comes next. Earlier, you heard the plan for Opendoor 2.0. I'd like to take a moment to walk through the foundation it runs on, our capital. We ended the quarter with $962 million in unrestricted cash and $187 million of equity invested in homes. We held 3,139 homes, representing $1.1 billion in net inventory. We had $7.6 billion in nonrecourse asset-backed borrowing capacity, of which total committed borrowing capacity was $1.8 billion. As Kaz mentioned, we have executed three substantial capital transactions to set our balance sheet up for the scale ahead. First, the rapid increase in our stock price triggered a condition in our 2030 convertible notes that could have required us to repay the full principal balance in cash during the fourth quarter of 2025. Using our at-the-market or ATM equity program, we proactively raised equity in September 2025, selling 21.6 million shares at a weighted average price per share of $9.26 for nearly $200 million of gross proceeds. Second, today, we refinanced a substantial portion of the 2030 notes with equity. As a reminder, these notes bear interest at a 7% annual rate. The combination of these two transactions add meaningful liquidity to our balance sheet, reduce our cash interest costs and provide enhanced financial flexibility. Third, to align Opendoor's upside with all shareholders, our Board declared a pro rata warrant dividend. Every shareholder will receive 3 series of freely tradable warrants for every 30 common shares held as of the November 18 record date with exercise prices of $9, $13 and $17. Zooming out, we believe we have the right capital setup for the Opendoor 2.0 operating model, higher volumes, faster turns, tighter spreads and more products to serve homeowners. Now let me tell you how we're executing against that model and how you can hold us accountable. We are targeting to reach adjusted net income profitability by the end of 2026 measured on a forward 12-month basis. To get there, we're focused on three key management objectives that we monitor internally. For each objective, I want to frame for you why this matters, what we're doing and how you can hold us accountable. First, scale high-quality acquisitions. More volume means more revenue from transactions and ancillary services plus better leverage of our cost base. Further, market concentration creates a flywheel. When we own meaningful share in a market, we attract more inventory, which attracts more buyers, which attracts more sellers. We have multiple initiatives underway to drive this growth. Most importantly, as Kaz described earlier, we started reducing our average spread while increasing our operational rigor and selection, stronger offers for high velocity, high-quality homes, discipline on higher-risk homes. We're pairing that with AI-driven scoping and standardized pre-offer inspections to raise conversion and cut time and costs from offer to acquisition. You can track our progress against our acquisition goals through the end of 2026 on our new dashboard at accountable.opendoor.com. Individual weeks will fluctuate, holidays, weather, local market events will be focused on the trajectory over time. Second, improve unit economics and resale velocity. Speed and profitability per transaction enable us to build a sustainable business while enduring macroeconomic changes. Higher profitability per transaction gives us the ability to decrease the spreads embedded in our offers, leading to more acquisitions. This objective is supported by our tailored spread framework. By pricing more aggressively for high-quality, faster-selling homes and maintaining discipline on higher-risk assets, we expect our acquisition mix to skew toward more marketable homes that need less repair and renovation. We expect this to shorten the time from acquisition to listing and days on market, thereby reducing our holding costs. Second, we are innovating at an incredible pace with a renewed focus on execution and a culture of challenging everything to be better. Much of our product innovation is designed to automate workflows and increase resale velocity, supporting a business model focused on turns, not spread. You can hold us accountable to improving resale velocity by tracking the percentage of Opendoor homes on the market for greater than 120 days, which we report quarterly in our 10-Q. You can also follow our product, feature and partnership launches on accountable.opendoor.com to see how we're building the velocity into the business. Third, build operating leverage. We will scale transactions faster than fixed costs. So each additional home adds accretive profit. We're cutting aggressively in the right places, eliminating consultants, removing redundant tools and software, reducing marketing waste and streamlining operations while simultaneously reinvesting a portion of those savings into engineering and AI automation. Importantly, we expect to shift our overall operating expense profile toward variable components that flex with volumes rather than remain fixed through cycles. You can hold us accountable by tracking two specific metrics we report quarterly in our 10-Q. Fixed operating expenses should hold relatively steady as we rescale volumes and trailing 12-month operations expense as a percentage of trailing 12-month revenue should hold relatively steady or decrease over time. These three objectives are the foundation of our path to profitability, and we're building in the open so you can track our progress along the way. Turning to our outlook. Our guidance is going to look different than what you've seen in previous quarters. Our business is changing rapidly. Just in the past few weeks, our acquisition contract speed increased by nearly 2x. We're focused on execution and outcomes, not on benchmarking every turn during the transformation of this scale. Our results in the upcoming quarter are largely the outcome of us managing decisions that were made several months ago. We're focused now on making the right long-term decisions for the business, not managing the short-term guidance. What matters and what we want to be held accountable for are the actions we take from here and the results they drive over time. Our destination is clear, adjusted net income profitability by the end of next year, measured on a 12-month go-forward basis. We've already seen the levers in this business work. You can't build a breakeven business in a spreadsheet. You build it by shipping product, operating with discipline and learning from the market. For the near term, I will provide you with these guideposts. Acquisition rescaling. We're committed to rescaling acquisition volumes. We expect fourth quarter 2025 acquisitions to increase by at least 35% from Q3 as our product launches and pricing strategy changes take hold. You can track our weekly acquisition progress at accountable.opendoor.com. Revenue. We expect Q4 revenue to be higher from the outlook we provided at Q2 earnings, but decrease approximately 35% quarter-over-quarter due to low inventory levels from Q3's reduced acquisition volumes. Contribution margin. Our priority since mid-September has been to clear old inventory homes selected under the previous strategy that prioritize spread over quality. That's pressured our contribution margin sequentially since April through October. And we believe we bottomed out in October. Margins will improve through the end of the year as we replace legacy inventory with better homes, but Q4 contribution margin will be below Q3 as we reverse the downward trend. Cost discipline. We are focused on continuing to manage and improve our cost structure. Adjusted operating expenses for the 12 months ended June 30, 2025, were $307 million. For the 12 months ending June 30, 2026, we expect to spend $255 million to $265 million. Excluding the $15 million cash make-whole award for our CEO, this is a year-over-year decrease of approximately $62 million or 20% at the midpoint. We expect to achieve these savings while concurrently investing in engineering and AI automation to drive further operating leverage. We're cutting the waste and reinvesting in what matters. Finally, adjusted EBITDA. Given the near-term margin pressure as we clear old inventory, we expect Q4 2025 adjusted EBITDA loss in the high $40 million to mid-$50 million. We're building Opendoor 2.0 in the open, holding ourselves accountable to measurable objectives and giving you the transparency to track our progress. The journey won't be perfectly linear, but our conviction in the destination and in the levers that get us there is unwavering. With that, Michael, I'll turn it over to you for questions.
Michael Judd: Great. Thanks, Christy. Our first question comes to us from video submission from Vlad Tenev.
Vladimir Tenev: What's up, Kaz? By the way, we're super pumped that you guys are streaming live to retail on Robinhood. I think the question on everyone's mind is what's going on with tokenization? How real is it? And how do you think it could revolutionize the homeownership experience?
Kasra Nejatian: Thanks, Vlad. Thanks for hosting us. Look, I'm such a big fan of Robinhood, and I hope that we can continue to do things together. Our mission at Opendoor is to tilt the world towards homeowners and those working hard to become homeowners. And I love that Robinhood does some of the same things, this whole thing of taking power away from fancy people and giving to average person. Now to answer your question, look, I have a habit of not announcing products before they're launched. That's because I build products, not spreadsheets. And I think it's important that we ship things before we talk about them. And I don't want to say we're going to do this next week, but I generally can't imagine a future where real estate is not tokenized. And I also can't imagine a future where Opendoor isn't leading innovation in real estate. Look, asset tokenization is not a side quest for us. Tokenization allows us to increase the speed of transactions, decrease the cost of transaction and broaden base of homeownership. That's our job. Today, we talked about how we can now accept USDC. This week, I bought Bitcoin on my own laptop so we can start developing. And we've begun talking with partners about how we can work across stablecoins and tokenization. The work is active. We're very serious about it, and we'll tell you more when we launch something.
Michael Judd: Great. Our next question comes to us also via video submission from Eric Jackson.
Eric Jackson: Eric Jackson, welcome. On behalf of the entire $OPEN Army, we are thrilled to have you here leading the charge. I have two questions. Can you say specifically what the headcount is now at the company? I believe it was 1,407 over the summer. And second, can you say more about the revenue opportunities that you see around iBuying? Do you expect to add mortgage and title and other ancillary services? Zillow experimented with doing this a few years ago by acquiring a legacy company, and that didn't really take. So what is the Kaz approach to revenue? And how do you expect to grow this in the coming quarters? Thank you, again.
Kasra Nejatian: Thanks, Eric. Look, to start with, I think Opendoor has had far too complicated structure for a company of this size. To give you a sense, we've had 11 different HR software products. We're going to go down to one. As of this morning, there were 1,100 people working at Opendoor. And the most important thing isn't the number of people, but how aggressive and efficient those people are. I believe every single Opendoor employee needs to be 2 to 3x more aggressive and more efficient than the average employee in tech. We will have the most aggressive software company in the public market because our mission is incredibly important. And like I said in the prepared remarks, our job is to be incredibly mindful of OpEx and to reduce our fixed OpEx over time so that it becomes a smaller and smaller part of our income statement. On the second question, look, I'm incredibly bullish on what I call services. When I joined Shopify, Shopify was 50-50 in its revenue between SaaS and services. Today, services are 75% of Shopify's revenue. And while I didn't have everything to do with it, I had something to do with it and was the services guy at Shopify. The reason why these embedded fintech things typically don't work is because they're usually designed by some dude in a Boardroom trying to figure out how can I make more money from my users. That's what it typically work. And that's just not how users interact with products. We will build excellent products. They will feel whole, and you will buy a home from Opendoor the same way you buy a car from Tesla or something from Amazon. They will feel like one product, and there won't be a different -- bunch of different cross-sell motions that you have to keep feeling that you're talking to different companies. I hope that answers your question.
Michael Judd: Great. Our next question comes from Zach H, who asks, when will we see a dramatic change in profitability?
Kasra Nejatian: Next year. The answer is next year, we're going to see a dramatic change in profitability.
Christy Schwartz: Zach, let me walk you through some of the details. So as we shared in the prepared remarks, we are driving the company to adjusted net income profitability exiting 2026 on a 12-month go-forward basis. The framework to achieve that goal requires us to rescale acquisitions. We guided to rescaling acquisitions, growing them by 35% quarter-over-quarter for Q4 2025, and we are driving to exit Q4 2026 by buying somewhere around 6,000 homes. You can track that -- our progress against that goal and hold us accountable to that goal at accountable.opendoor.com, which will be updated weekly. On the margin side, we expect to get contribution margin of 5% to 7% as we approach the acquisitions with renewed rigor, decreasing tail homes, improving days in possession and therefore, holding costs. In addition, as we get more shots on goal and buy more homes, we get the opportunity to attach more products and drive margin from ancillary services. We expect financing costs of 2% to 3% of revenue. These costs are highly sensitive to our turns and will benefit from our faster resale velocity. We're targeting adjusted OpEx of 3% to 4% of revenue. We expect to leverage our existing fixed OpEx structure, as Kaz mentioned, to invest slightly more in marketing, but with the discipline that Kaz discussed earlier, and we expect to scale operations marginally as we rescale volumes. That's a framework. It's not new guidance. But it's -- yes, go ahead.
Kasra Nejatian: I'm going to add a little to this, if you don't mind. Look, I spent the last few years of my career at Shopify, and I think folks would say that I had something, though obviously not everything to do with Shopify's profitability and growth. In late 2022, when I became Shopify's Chief Operating Officer, I'm going to read this because it was a quote. There was an analyst that said, "Shopify will lose money every year through 2025. Profitability is nowhere to be seen." Well, Shopify became profitable 2 quarters after I became COO, and it has been profitable ever since and have hit the Rule of 40 every quarter. Companies don't become profitable in Excel sheets. The way this works pragmatically is what [indiscernible] and I did at Shopify. You create a list of projects, you put odds -- adjusted odds of success against each of them and you execute every single day. At Shopify, we had a few dozen of these, 3 or 4 of them ended up really mattering. And we have the same list here. We have a list of projects. And the reason I say we're going to drive to profitability is because this is not a passive thing. It's not just going to happen to us. We know what we are going to do. We're going to take those actions, and we're going to exit 2026 profitable on a go-forward basis. Sorry, I cut you off.
Michael Judd: Our next question comes to us from Victoria B. Short sellers keep attacking Opendoor, spreading negativity and driving the stock down despite strong progress. What’'s your strategy as CEO to fight these daily short-selling pressures, protect shareholders, and make sure the market sees Opendoor's true strength?
Kasra Nejatian: Look, I care a great deal about our average shareholder. And you've seen us do some things today to help align us to our average shareholder. Having said that, I don't spend that much of my time thinking about short sellers. I never worked on Wall Street, and I generally don't understand why these people do what they do. It just seems deeply boring and like just bad for the soul. I mostly just pity them. They don't really build anything. Look, we run the company for long-term owners, not for people that bet against us every week. And what matters to us is execution week in, week out, how fast we buy and sell homes, how operationally excellent we are, how we turn over inventory. And I think the best way to deal with short sellers is just prove them wrong through numbers. Every quarter, we're going to improve unit economics. Every quarter, we're going to get better. Every week, we're going to show you the numbers. We're going to do all the right things. And I think when you do that, the score takes care of itself.
Michael Judd: Great. Our next question comes from Dae Lee from JPMorgan. How do you define Open's identity? What do you see as its biggest strength? And how will you leverage that to achieve sustainable growth and profitability as Open navigates the currently depressed housing market and longer term?
Kasra Nejatian: That's a great question. I'll take it first, if you don't mind. Look, Opendoor is a software company. We're not a hedge fund waiting for macro to turn around. That's our job. Our job is to help people sell, buy and own homes. And our leverage comes from building excellent products. And you do that by writing excellent code. So that's the largest source of our leverage, right? Codes written by our engineers, data on our databases and the models we have and we're improving the value not just the valuation of home, but dispersion on them and days in possession. And I firmly believe that the best software companies are built in hard times because the times forces you to be disciplined, right? You end up having to care about your user more. You end up building deeper integrations that solve more of the problem. So when times get good, you end up having abnormally large profits. I'm very bullish on the company. Just in the last couple of weeks, we've shown that we can grow acquisitions relatively quickly. I think we grew 60% on acquisitions just this past week. We'll see how much we grow next week. And we've shown that we have relatively good levers in this company. And when you decide that you're going to do that, you have the good levers, you have great software and you have the balance sheet that we do, you get the chance to go on offense. And I really like our odds, and I think things are starting to work for us.
Michael Judd: Great. Our next question comes to us from Ryan Tomasello from KBW. Does management intend to continue to emphasize the Cash offer as Opendoor's primary product? Or do you envision moving the business more capital light? Will the Key Agent program be the primary distribution channel for the cash offer? And if so, how should we think about potential bottlenecks on growth given this high-touch approach tied to agents?
Kasra Nejatian: That's just not how I think of the business, to be honest. Let me answer your question first. Look, I think companies fail when they think of themselves first and their users second. Like our job is to serve our users and people come to us to sell or buy a home. That's why they come to us. And our job is to meet them where they are. Some of them want to use an expert, some of them don't. And the question is, how do we answer? I think Cash is a great product. I think Cash Plus is a great product. We're going to have different products along both the risk and the ownership axis because I think that's just not the final two products we're going to have. And I like our D2C model. I think we talked about how in our tests early on, it has been converting 6x better. So I think the question isn't really one of which channel are you going to pick. We're going to pick the channels that allow us to have the maximum impact on behalf of our users. And I firmly believe in our DTC channels are going to be the future of the company. And if there are users that want to use experts, we want to serve them where they are.
Michael Judd: Great. We have a few questions on sustainable acquisition growth, so I'll read for you those out. One from Ygal at Citi. How are you expecting to manage guardrails and acquisitions as you pick up pace? Another from Andrew at Citizens. Can you talk about controlling the long tail and how those purchases have outsized losses? And Nick McAndrew at Zelman. How do you balance near-term transaction growth with your stated goal of evolving into a platform business?
Kasra Nejatian: Okay. I'll try to take these one at a time. I think the tail question is actually the best question. Let me take that one first. So what you actually want to have is a lot of dispersion in your model, right? Opendoor historically have not had that, where it has kind of like just had a peanut butter spread across its space. We now have significant dispersion, and this is basically all we talk about is how we can have excellent offer on good homes where we know days in possession is going to be low and be more careful on longer days in possession homes. And we have a new process for inspecting every home to make sure that we don't get caught by surprise. This is a trust but verify approach that I talked about, which will be great because it will both, a, variable cost and b, more importantly, allows us to have lots of data on our servers. Last question second. I don't think these two things are at conflict. Look, at Shopify, we had high growth and high free cash flow. I think these two things actually go together because when you buy lots of homes, you get opportunities to sell lots of homes. And when you sell lots of homes, you get opportunity to attach additional services to them. And I think these two things go hand-in-hand. And to answer your first question last. Look, I think we have shown that we have really good levers at our disposal. Morgan and the growth team have been working only for a couple of weeks now. But every single day, we're seeing improvement on buying the types of home we want to buy, and we really like our top of funnel. We have cut marketing and have seen acquisition go up, which is always a good sign. Am I missing something?
Michael Judd: That's great. We have another question from Ben Black with DB. There's a few in there, but his last question was, in what ways can AI be an accelerant to growth?
Kasra Nejatian: I mean, look, in all the ways, and basically all the ways. Look, I don't spend that much of my time worrying about like the problems Opendoor has traditionally had on this area because there have been different types of problems. I spend a lot of time about what the problems are today. Let me give you one example. I talked about this a bit. We would have up to 11 people touch a home before we had a sales contract go out for it. Today, in many of our flows, that's down to 1. And the job of that one person is to watch the machine, right? This significantly reduces OpEx per home that we acquire, far, far, far fewer human beings, far more machines. This is better speed, better user experience, lower OpEx, win, win and win. And then secondly, on the -- just the top of funnel part, you've seen us cut marketing and we cut marketing when I came in and increase acquisition. We're able to do this because we can optimize our funnels and put more of the experience in the hand of the user. And by the way, AI is also able to help us explain to our users the valuation of each home. So across top of funnel, middle of funnel, bottom of funnel, already, we are seeing the impact of AI. And we're also seeing the impact on closing, which is the last step, where we've had machines do much of their work for closing these days, and that's just going to continue.
Michael Judd: Great. We had one more question from Margarita M, who asks, how can you guys make homeownership easier for younger generations?
Kasra Nejatian: I mean this is like the fundamental goal of the company. Look, home prices have increased by something like 50% since 2020. Mortgage rates are much higher than they used to be. Housing inventory is far too low. Typical sale is taking like 60-plus days and like 1 in 7 deals are falling through. And the average time for a person to buy a home is almost 40 now. This is just terrible because it's harming our communities, harming our families and people who want to own are facing real barriers. People feel trapped in their homes because of mortgage rates. This is why we announced our partnership with Roam today. But the enemy really isn't any one group of people or any one company. That's just not how it works. The enemy is the process. There are so many people involved in the process of you buying and selling a home that the costs are just out of hand. And one of the things I'm super excited about is the fact that we can underwrite a home gives us excellent power to underwrite mortgages and the fact that we can do things that allow you to buy a home earlier, buy a better home earlier and know that you have the peace of mind to buy it, is going to be a key part of the company's future. But that's the mission, right, tilt the world towards homeowners and people who are working hard to become homeowners.
Michael Judd: Great. We're getting close to the top of the hour. So that was our last question. So Kaz, if you have any closing remarks?
Kasra Nejatian: Yes. Let me -- thanks. I appreciate it. Thanks for your question, folks. Look, I spend most of my day in Cursor and GitHub. I don't spend much of my time in spreadsheets. I started writing code on my Commodore 64 when I was 6. And I'm opinionated about what Opendoor's product should look like. We are a product company building software to enable homeownership. And you've seen us launch many products, like dozens of products just in the past few weeks, and you should expect us to do the same. And you should expect us to be operationally excellent and incredibly mindful of your dollars as our shareholders. You're going to see us be accountable. We're going to make mistakes along the way, but at every single step, you're going to see us care deeply about our mission and be transparent as we build. I'm incredibly bullish. I am more bullish today than I was when I took this job. And I think we're going to actually make a change and make a real difference in the future of homeownership in this country.
Michael Judd: Great. With that, we'll conclude our third quarter open house.